Operator: Please standby, we are about to begin. Good day, ladies and gentlemen. And welcome to the Gordmans Stores Incorporated First Quarter Fiscal 2015 Earnings Conference Call. Today’s conference is being recorded. My name is Janise, and I will be your operator for today’s call. At this time, all participants are in a listen-only mode, but we will be conducting a question-and-answer session at the conclusion of today’s presentation. [Operator Instructions] I would now like to turn the call over to your host today, Mr. Brendon Frey of ICR. Brendon, please go ahead.
Brendon Frey: Thank you and good afternoon. Before we begin, I would like to remind everyone that the information contained in this conference call, which is not historical fact, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results might differ materially from these projected in such statements due to a number of risks and uncertainties, all of which are described in the company’s filings with the SEC and our earnings release. I would now like to turn the call over to Andy Hall, Gordmans’ President and CEO.
Andy Hall: Thanks, Brendon. Good afternoon. And thank you for joining us to discuss our operating results for the first quarter of 2015. On the call with me today is Mike James, our Chief Financial Officer. I will provide an overview of our first quarter accomplishments and an update on our progress and longer term strategic initiatives. Then I will turn it over to Mike to present a more detailed view of our financial results for the first quarter, as well as discuss our guidance for the second quarter. We will conclude by answering any questions you may have. We are very pleased with our first quarter financial results and more pleased that these results were driven by our efforts and actions related to our goal to return the company to consistent annual comparable store sales growth and profitability. These efforts were focused on staying true to our everyday value price business model. Such as, maintaining the right inventory investment, while flowing fresh receipts, taking more timely permanent markdowns to drive clearance sell-throughs in season, reducing the number of deflationary coupons and promotional practices, successfully opening new stores and actively managing expenses and merchandise margin rates that are so important in our model. So there are lots of wins to talk about and we should start with the bottomline. Our diluted earnings per share of $0.02 beat last year by $0.06 and beat the high-end of our guidance range by $0.04. Sales at the midpoint of guidance coupled with better gross margin results and strong operating expense performance drove our earnings. Net sales for the first quarter increased 2% and comparable store sales on an owned and licensed basis decrease to 1%. Our first quarter sales performance continues the trend improvement that started in the 2014 fourth quarter. We wanted to note that we added the owned and licensed comparable store sales metric for a couple of reasons. It better reflects our true sales performances from the guest perspective and experience. It also better represent how we now view, run and invest in our business. We also wanted to discuss clearance selling to better understand our go-forward sales trends. As expected, comparable store sales were negatively affected by 14% lower comparable store clearance inventory on average during the quarter. Our comp store clearance sales were down 10.2% for the quarter. Our non-clearance owned and licensed comparable store sales were a positive 0.3% for the first quarter. We are projecting that the clearance inventory penalty partially abates for the second quarter. Our merchant and planning allocation team did a great job in the first quarter. Our gross profit rate increased 21 basis points to 44.5%. This improvement was driven by lower markdowns and a 7.8% comp store increase in license sales. Our level of markdowns continues to benefit from reducing deflationary couponing. We ended the quarter with inventories in great shape. At quarter end, our comp store inventory was down 2% or less than 60-day aging represents 67% of our inventory versus 59% last year and are greater than 120-day inventory, in other words, our pre-January receipts is down 19% to last year and is better marked. All of these metrics improvement result in the disciplined buying and management practices. Lastly, we want to call out our expense performance. Specifically, the stores organization and the corporate office, our SG&A expenses improved 90 basis points to last year, much of this improvement related to controlling expenses better than plan. Now for a brief update on our 2015 initiatives that are geared to help us develop disciplined and business practices that will lead to our success in 2015 and beyond. To start, we wanted to share some current color our merchandising initiatives to develop assortments tailored to our guests. We’re seeing some strong comps in several areas. Men’s posted a first quarter comp increase driven by men's sportswear and young men's. Our investment in plus sizes and big and tall resulted in high single-digit first quarter growth. Jewelry and shoes increased double digits. There is a resurgence in knit tops and denim sales, two highly penetrated businesses for us. Related separates are performing well in juniors’ and misses. In home, domestic is showing midteen growth driven by decorative pillows, window coverings, which is a new business for us and rugs. We have become a destination store for pet products, which will deliver $1 million to $2 million of incremental growth this year. We expect all the aforementioned performances to continue into the balance of the year. We are also excited about market share opportunities with back-to-school and holiday. Back-to-school will benefit from better receipt performance and planned door busters and flash buys. Holiday, specifically Thanksgiving week, will benefit from increased advertising and marketing expense, more aggressive promotions and door busters that are tailored to Black Friday. Next, we are still on track to launch our e-commerce platform in mid 2015. This will include a fully functional transactional websites that represents the Gordmans’ brand and product assortment. This launch is the first step to creating an omni-channel approach that is a key to our future success. Our e-commerce team platform partners, third-party logistics provider are in place. We are currently allocating e-commerce merchandise, ramping up photography and creating product descriptions to be used on the site. Next, improving our entire supply chain from item set up and purchase order entry to delivery of the store, our overall 2015 goal is to reduce the vendor to the store timeline by 25%. In the second quarter, we will complete a project to improve our purchase order entry process and will initiate a vendor compliance program to assist in reducing shipping errors. We have seen first quarter improvement in both of our distribution center’s processing productivity. The supply chain remains the high priority that must continue to improve. We also continue to evolve our marketing focus. We reduced the number of deflationary coupons and promotional practices in the first quarter. We focused marketing messaging and promotion around competitive shopping timeframe, Valentine's Day, Easter, Mother's Day in the first quarter. Between these key shopping periods, we limited promotions and let the everyday value price format work as intended. In other words, we don't have to wait for sale to get a great value. We grew our guest loyalty database to over 4 million members by the end of the first quarter. Over 70% of our sales were from loyalty guests in the first quarter. Lastly, we engaged the DeVito/Verdi to develop new marketing campaign, which is expected to launch the back-to-school. Next continue to leverage the everyday value price model to increased turns and create more consistent merchandise flow. We started this last year by rightsizing the inventory investment and we’ve continued to maintain appropriate inventory controls. We have continued to take timely markdowns to drive clearance sell-throughs in the season. Timely clearance firms resulted in open to buy to flow fresh receipts. The end result will be higher sales, increased inventory turn, lower markdowns and higher gross profit rate. Lastly, from a new store expansion perspective, we remain confident in the scalability of our business model across new and existing under penetrated markets. We successfully opened two new stores in the Cleveland market in March. We plan to open four more new stores later this year. We also plan to close one store during the year but are reviewing options for several other underperforming stores. Our strategy is to open new stores and actively called underperforming stores. Mike will now present more detail of the financial results for the first quarter, as well as our guidance for the second quarter. Mike?
Mike James: Thank you, Andy. With respect to first quarter performance, net sales for the first quarter fiscal 2015 increased $2.9 million or 2% to $146 million as compared to $143 million in the same period last year. The increase in net sales was driven by sales from the six new stores opened in fiscal 2014 and the two new stores opened during the first quarter of this year. Owned and licensed comparable store sales decreased 1% while owned comparable store sales declined 1.7% due to a decrease in comparable transaction partially offset by an increase in the average sale. Gross profit increased 2.5% to $65 million. Gross profit margin was 44.5% for the quarter, compared to 44.3% last year, a 21 basis point increase, driven by lower markdowns and higher licensed fees, partially offset by lower initial markup on merchandise. SG&A expenses for the first quarter were $63.3 million, or 43.4% of net sales versus $63.4 million, or 44.3% of net sales last year, a 91 basis point decrease. SG&A expenses were better than plan by 55 basis points. Store expenses related to health insurance and maintenance expenses were 14 basis points better than plan and corporate expenses related to payroll benefit costs, recruiting costs and travel were better than plan by 32 basis points. Remaining SG&A improvement to plant related to advertising and e-commerce expenses, which were partially offset by higher distribution center expenses attributable to capitalize rate charges. SG&A expenses were plan, 36 basis points better than the first quarter of last year. The benefit was primarily due to the decrease in non-recurring compensation expenses and pre-opening expenses, offset by an increase in depreciation expense. Interest expense for the first quarter was $1 million, compared to $1.2 million for the same period last year, with a decrease resulting from the November 2014 pay down of $15 million on the senior term loan. Our combined federal and state effective income tax rate for the first quarter was 39.1% this year compared to 38% last year. Net income for the first quarter 2015 was $374,000 versus a net loss of $732,000 last year. First quarter diluted earnings per share were $0.02 based on 19.5 million weighted average diluted shares outstanding. The diluted loss last year in the first quarter was $0.04 based on 19.4 million shares outstanding. I would now like to turn to our balance sheet. Cash and cash equivalents at the end of the quarter decreased by 52% to $8.7 million compared to $18 million a year ago. Inventory was a $105.8 million at the end of the first quarter, an increase of 11.1%, compared to $95.2 million at the end of the first quarter last year, but represented a 2% decrease on a comparable store basis. Our working capital was $21.2 million, 43% lower than at the end of the first quarter last year and total debt outstanding of $43.8 million was $1.2 million less than the end of the first quarter last year. Our liquidity continues to be strong as we have excess availability on our revolving line of credit at $59.5 million at the end of the quarter. In addition, we're exploring refinancing our senior term loan in order to lower our annual interest expense and to extend the term loan due date. With respect to forward-looking guidance, we're projecting the following for the second quarter of fiscal 2015. Net sales between $144 million and $147 million, which reflect a flat to low-single digit comparable store sales decreased on an owned and licensed basis, with comparable store sales slightly lower on an owned basis. Gross profit margin better than last year as inventory aging and clearance inventories are in better condition than last year, selling, general and administrative expenses to deleverage primarily due to additional depreciation expense and e-commerce expenses. Our diluted loss per share for the second quarter in the range of $0.15 to $0.12, using the weighted average diluted share count of approximately 19.4 million. This compares to a loss of $0.16 per share in the second quarter of fiscal 2014. I’d like to point out that the sales tax holiday this year shifts to the first weekend in the third quarter from the last weekend in the second quarter last year. We estimate that this shift will have a negative impact on second quarter comps of approximately 1%. While we do not provide full year guidance, the following estimates based on current conditions are provided to assist you in reviewing your full year 2015 financial model. Comparable store sales flat to a low single-digit increase on an owned and licensed basis, with comparable store sales slightly lower on an owned basis. Gross profit margin rate is expected to increase 800 to 100 basis points. SG&A expenses will deleverage due to the start-up of our e-commerce operations. Depreciation and amortization will increase by 30 basis points. Our diluted share count will be approximately 19.5 million shares and our capital expenditures will be approximately $14 million to $15 million for the year. I would now like to turn the call back over to Andy.
Andy Hall: Thanks, Mike. As I mentioned on the fourth quarter earnings call, we are excited about the opportunities we have as a company. We continue to make progress on our turnaround goals and we have maintained the momentum started in the fourth quarter of 2014 and expect that to continue into the second quarter. So with that, we would like to open up the floor to questions. Operator?
Operator: [Operator Instructions] We will take our first question from Neely Tamminga with Piper Jaffray.
Neely Tamminga: I have two questions primarily. First for Andy and second for Mike. Andy, you walked through a lot of the categories that are working well. If we were to look at the business excluding the clearance activity, are there categories that are not doing well that you can speak to in terms of the game plan from a merchandising perspective, your partnership, speak about those businesses progressing? And then for you, Mike, thank you for the general conceptualization of how you are viewing the P&L for the year. I think last quarter you did mention deleverage specifically about 30 to 40 basis points on SG&A, I didn’t hear that repeated on this call? Is that about still the neighborhood that we are looking for on the annual deleverage of SG&A, or is there something that has changed related to maybe some of the initiatives you have on the ecommerce? Thank you.
Andy Hall: Thanks. So this is Andy. I will take the first call. So as with any retail organization and any period of results, you’ve got merchandised classifications and the vision is that are doing well and others that aren’t doing well. So in broad terms, missy, men’s home essentials and accessories and fragrance has performed better than the company trends in the first quarter. Juniors and kids were slightly worst than the company trends and then team and home décor, I would say underperformed the company trend by a few hundred basis points. A little color on the team and the core team, their business turned around as soon as they started getting fresh receipts for really with the spring trading for MLP. So three new receipts for MLP in spring trading. They had top business. Their inventories were down. They had receipt issues in 2014 that we discussed. So they struggled a little bit in the first half of the first quarter. They are doing much better now. And then home decor, I specifically didn’t have anything in my prepared script that talked about weather and the port issues and all that because I wanted to really focus on the things that we control and the fact that we still have momentum coming from the fourth quarter into the first quarter. We still see momentum going into the second quarter. And really we’re talking about the clearance and the clearance component of the sales was the most important thing. I will tell you that home decor was the area in the store that suffered the most from the port issues. And once we started to see the goods kind of free up from the port, home decor has with garden accents and floral and spring has really picked up their business post port issues. So we see them doing well and have turned around for the second quarter. So hopefully that gives you a little color on the different areas of the business. Mike, do you want to talk about the SG&A?
Neely Tamminga: That’s helpful. Thanks, Andy. Mike?
Mike James: Yes. Neely, on the total SG&A, obviously we did expect to deleverage an SG&A next year and 30 to 40 points is in the range.
Neely Tamminga: Thank you. That’s helpful.
Mike James: Great. Thanks, Neely.
Operator: Our next question is from Mark Altschwager with Baird.
Mark Altschwager: Good morning and thank you. Could you update us on the progress you are making from a merchandise mix standpoint, just with good, better, best and the fashion versus basics? I think last quarter you maybe got a little too distorted with some of the better or best and had plan to address that, so any color there would be helpful.
Andy Hall: Sure. Thanks Mark. It’s a good question. So yeah, I would tell you that we've made a lot of progress on the good, better, best. We think that we have our inventory position where we want to from a good, better, best standpoint. So as of the end of the first quarter, just to throw some statistics at you from a unit standpoint, we’re about 62% -- for the first quarter, we’re about 62% good, 29% better and 9% best. So that’s from a unit standpoint. That’s the way the guest use it. That’s the way you can see it from the selling floor. That’s about where we want to be. So, we made a lot of progress from last year in getting our good, better, best in position. From a fashion and work of fashion basic penetration standpoint, I still think that we’re a little skewed toward the fashion end of things. I think that is a little tougher or a little longer tail to move that. But we are moving that a little more down from the fashion scale, little more on the fashion basic side of thing. That varies by merchandise division and family business that’s out there. So, we still have some work to do, I think on the fashion and fashion-basic relationship.
Mark Altschwager: Thank you. That’s very helpful. And then, Andy, just maybe a bigger picture, I mean, now that you’ve had a few quarters in the CEO seat, there been any big surprises and you’ve done a nice job just laying on and executing the strategy so far? I’m wondering as you step back, if there are any areas where you see the need to adjust course or perhaps focus more attention over the next several quarters?
Andy Hall: Well, I think as any retailer, we’re always in a learn, react and test, and test and learn mode. So, we've got a lot of that going on at those specific merchandise level. From a total company standpoint, I think we’re still trying to learn where the equilibrium is from the business model we’re trying to run so. And by that I mean, we’re trying to run on everyday value priced business. However, we have to be promotional during the key shopping period, so it's really kind of a hybrid model out there. Our everyday message to the consumer, to our guest is they don't have to wait for a sale to shop and to buy that our everyday price is a value priced and you’re not going to beat our price out there in the marketplace. And we have to balance that with periods of time that’s very promotional. The example in the first quarter is Valentine's Day, Easter and Mother's Day. So on those events, we have to be out in the marketplace with some representation of coupons and the promotional and communicate with the customer promotional message. That’s a little more challenging because we want to run the everyday value priced format in between natural competitive shopping periods. We’re still kind of finding our way and what the right balance is there. One thing that I will tell you that, as it relates to clearance, we are going up against sales numbers last year, because there was excessive clearance in the store and kind of one of the crutches for the organization in the past was running a significant percentage off clearance during certain time frames and that was quite frankly more of a more of a excess clearance inventory liquidation strategy more than anything. So as we come up across -- come up against though this year, it is costing us a little bit of sales, but from a margin standpoint, we’re much more profitable on those events this year, where we got our inventories at a level where we don't have to reside -- resort that crutch and run an extra percentage off. So we’re still working our way through. I talked about this in the past and I talk about it inside the organization almost everyday is that it is an evolution not a revolution as we continue to modify the business model and try to find our footing and that's what we expect to see this year as well. We could expect to continue to see progress which we did in the fourth quarter. We saw it in the first quarter. We expect to see it in the second quarter and the balance of the year, so that when we get to the full year, as Mike mentioned, we’re still looking to be a flat to low-single positive comp player for the year with 80 to 100 basis points of expansion on the margin line.
Mark Altschwager: That’s a great color. Thank you very much and best of luck.
Andy Hall: Thanks Mark.
Operator: [Operator Instruction] We’ll take our next question from Matt Dhane with Tieton Capital Management.
Matt Dhane: Great. Thank you. I was curious as you see year-to-date, what product or category do you see has the greatest upside?
Andy Hall: Well, I think, there is, I think, the good news is, we see a lot of upside out there and as Lisa continues to have an impact on our assortments and we’ll see more the impact that Lisa has on the business in the fall season. But, clearly, I’ll start with men’s you’ve got a nice job in men’s of restoring the balance between traditional and modern. We are adding some vendors that I really don’t want to call out the vendor is for the fall. So we are really happy that men’s has really turned the corner in our mind. They ran a positive comp in the first quarter and we see their business really charging ahead this year. So that’s great to see. I think our investments, as I said in plus and big and tall is paying of handsomely. From a plus size perspective, our penetration, we are projecting our plus size penetration for the spring to be about 8% of our total business, up and we are about 6.5% last year. So we think that’s a growth area for us, the penetration in the fall we expect to be a little higher than last year as well, even in the fall when apparel kind of starts to trend down in the fourth quarter as the gift-giving areas start to kick in and generate a higher percentage of the total. So that’s an example of an area that we feel good about. Missy, we’re focused on missy careers in the key item assortments. So we see opportunities there. Fall denim, we see opportunities in fall denim again with national branded names or semi-national branded names that customer recognizes. And so we see fall opportunities and building those opportunities for the fall. So I’ll call that’s a premium that I really don’t want to share any of the vendor names with you. I’ll call that the premium denim opportunities that we have. There is one area that we are revisiting last year. Our temporary sportswear, we kind of expanded that to all doors last fall. We are relooking at that I think from a contemporary standpoint, which I would call our contemporary probably more modern than contemporary, but we are not sure that that really should be an all door assortment. So we are looking at realigning that and pull back on the contemporary assortments and the contemporary doors that we have out there. Jewelry is paying off handsomely. They are on a nice business trend right now. We expect that to continue to grow for us. And we are doing things like we are investing some money in line queue, so we are going to have the line queue program at all of our stores this year. That’s going to generate quite a bit of incremental sales for us. And we think that’s in the -- could be as much as the $2 million to $3 million range from a line queue standpoint, so we see that as a big plus. We’ve add -- we are adding assortment breadth in home décor. Last year we were -- we had more of a narrow and deep approach. This is kind of flattening that out and broadening the assortment in home décor. So we think that’s going to be a win. Again, we were hurt in the first quarter from a home decor standpoint from the port strike, but not concerned about that on a go-forward basis. And even areas like pets, we talked about pets. I mean, pets is going to be close to an $8 million business for us this year and we really turned into a destination business in pet. And even from a marketing promotion standpoint, we’ve been able to go in and carve out that pet customer and tailor e-mail messaging to the pet customer specifically related to pet products, which we’ve seen a great response by the guests with those e-mail campaigns. And the domestics, domestics is on fire, we’re running a mid positive double-digit comp as I said in the core, pillow and window coverings, and rugs bath, so we don’t see that slowing down as well. And in food and candy, last year we probably under receded in candy and weren’t in the right inventory position last year from a candy standpoint, that’s a great add-on item for us, a great impulse buy. So we are back in the candy inventory position where we should be, so we see that is going as well. So I think there is lot of things working in the business. And we are cautiously optimistic, but I think we do have momentum and we see the momentum continuing throughout the year. Matt, does that help you?
Matt Dhane: Yeah. No. It definitely does. One thing I did want to head a little further down is, obviously, you are also seeing some strength in the license fee in your leased department side, assume that’s jewelry, is that only jewelry or is the other area -- what's leading to that success there? I guess, I don’t even know how much control you have over that?
Andy Hall: So we do have some control. We had a great partnership with our licensee in shoes. So our license business is not jewelry. So the jewelry that we run is our own. It’s primarily costume jewelry. We don’t run a true fine jewelry business, which is fine jewelry as typically the licensed portion jewelry. But we don’t run a fine jewelry. So our license business is shoes and maternity and both of those businesses are doing well. Both of them output their comp performance and both those businesses is outperforming the owned business trends. Part of that is that I think we’re in -- definitely in a positive shoe cycle. So when you look at other retailers, I don’t call out any of these specific names but when you look at other retailers and look at the shoe vendors, we’re definitely in the shoe cycle, so that helps. But we definitely work well with our licenses and in shoes, we’re working very closely. We’re in the midst of working on the strategy with them for Thanksgiving weekend on some door busters. We like to get them on the cover of our book and we think that’s a great opportunity for the Thanksgiving Day and Black Friday Day that they have that on our book, some cover of our book. And it’s one of the reasons why we change that metric as well as, I would tell you that our approach with the licenses in the past was a little bit more of us and them. And in some respects, we almost treated them as the enemy. And I would tell you that I have a very different point of view on how we should interact with those. From a guest standpoint, when she walks in the front door, she doesn't know if the merchandise area is owned or leased. She doesn't care. Her interest is in the products and whether it’s the right assortment for her and that’s the way we should look at it as well and that’s the way we are looking at it. So we’ve got a store where shoe is out trending the store and we should allocate more selling floor space to the shoe department. We are going to do that. Where in the past, we kind of -- here is the portion of the floor that shoe is going to get. We always treated them like they weren’t part of the team which I think was a mistake. So we’ve kind of change our mindset on that. I think our partnerships are really strong with our licensees and we look forward to continued growth with them.
Matt Dhane: Great. Thank you.
Operator: It appears, there are no further questions. At this time, I’d like to turn the conference back to management for closing remarks.
Andy Hall: Thank you. On behalf of the entire management team and our 5,000 plus associates in our stores, distribution centers and corporate office, thank you for your continued interest in and support of our company. We’ll see you in about three months. Thank you.
Operator: This does conclude today’s conference. Thank you for your participation.